Operator: Good morning and welcome to the Deere’s third quarter earnings conference call. I would now like to turn the call over to Ms. Marie Ziegler, Vice President, Investor Relations.
Marie Ziegler: Good morning. Also on today's call are Mike Mack, our Chief Financial Officer, as well as Susan Karlix, Karen Thompson, and Bill Ratzburg from the Deere Investor Relations staff. Today we’ll take a closer look at Deere’s third quarter earnings, and then spend a few minutes talking about our markets and where things are headed for the remainder of the year. After that we’ll open for your questions. Please note that slides are available to compliment the call this morning. They can be accessed on our website at www.johndeere.com. First though a reminder, this call is being broadcast live on the internet and recorded for future transmission and use by Deere, Thomson Reuters, and third parties. Participants in the call including the Q&A session, agree that their likeness and remarks in all media may be stored and used as part of the earnings call. This call includes forward-looking comments concerning the company’s projections, plans, and objectives for the future that are subject to important risks and uncertainties. Actual results might differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company’s most recent Form 8-K and period reports filed with the Securities and Exchange Commission. The company, except as required by law, undertakes no obligation to update or revise its forward-looking information. The call and the company materials are not an offer to sell or a solicitation of offers to buy any of the company’s securities. This call also may include financial measures that are not in conformance with GAAP accounting principals generally accepted in the United States of America. Additional information concerning these measures, including reconciliations to comparable GAAP measures, is posted on our website at www.johndeere.com/financialreports under Other Financial Information. Call participants should consider the other information on risks and uncertainties and non-GAAP measures in addition to the information presented on the call. And now for a closer look at the third quarter, here’s Susan.
Susan Karlix: Thank you Marie, earlier today John Deere reported another quarter of impressive operating and financial performance. Sales and net income were the highest for any third quarter in the company’s history. Farm conditions remain quite strong throughout the world driving our AG operations at an unprecedented level. In addition, consistent execution is helping our non-AG businesses remain solidly profitable in spite of the slow US economy. What’s more the big picture still looks good. Farm commodity prices have fallen back recently but it wasn’t so long ago that $5 corn and $12 soybeans would have been considered pretty spectacular. Today’s grain prices continue to lend strong support to farm incomes worldwide. Also the underlying fundamentals based on increasing global affluence and the world’s growing need for food, fuel and infrastructure remain in tact. They offer great long range promise for our company. John Deere is moving aggressively to capitalize on these exciting trends by making continued investments in new capacity, new products and new businesses. Starting with slide three you can see that we have continued to invest in growth. To support the strong agricultural equipment markets worldwide and with the outlook strong for some time, the large harvester manufacturing facility in East Moline, Illinois, which ships grain combines around the world will complete a 30% capacity expansion early in 2009. In addition, two acquisitions in the quarter provide scale, customers, products and distribution for John Deere Water Technologies propelling our business to number three globally in agricultural irrigation. Turning to slide four, this morning Deere reported record third quarter net income of $575 million, the top end of our guidance, on record equipment net sales of approximately $7.1 billion. Even with the challenging material and logistics cost environment net income increased 7% and diluted EPS rose 12%. On slide five, total worldwide equipment operations net sales were up 18% compared to the third quarter of 2007. About five points related to positive currency translation, there were about two points of price realization as well as about two points from acquisitions in the AG and the commercial and consumer equipment divisions. The remainder is from increased volume. On slide six, you can see that our third quarter production tonnage was up 13%. For the fourth quarter worldwide production tonnage is expected to increase 18%. For the full fiscal year 2008 worldwide production tonnage continues to be forecast at a 17% increase. All are driven by a very strong global market in agriculture. Regarding our company outlook, let’s turn to slide seven. For the fourth quarter of 2008 we expect company-wide equipment operations net sales to be up about 29% including about three points of currency. Net income is expected to be about $425 million in the quarter. For the full year we are now forecasting net equipment sales to be up about 21% compared with fiscal year 2007. This includes about five points of currency and about two points of price realization. In addition there are a total of about two points from acquisitions, including LESCO and those in John Deere Water Technologies. Turning to a review of our individual businesses, let’s start with agricultural equipment on slide eight. While the press release describes the major items affecting financial results let me mention that of the 35% net sales increase in the third quarter currency translation accounted for about eight points. Operating profit increased 47% to $634 million. Looking ahead, global AG fundamentals are very encouraging. Worldwide [inaudible] to use ratios remain at low levels, particularly for corn and wheat. Slide nine portrays our assumptions for yields for key crops planted in the US during the last three years. Yesterday the US DA updated its 2008/2009 crop outlook increasing the US corn yield to 155 bushels per acre, while reducing the mid point of their price range to $5.40. This price is extremely attractive to grain farmers while lessening the burden on livestock producers and consumers. Slide 10 highlights Deere’s projection for the prices of corn, wheat, and soybeans which in spite of recent moderation remain very favorable by historical standards. Deere’s forecasted commodity prices are on slide 11. Note the increases for the 2008/2009 crop year from last quarter’s forecast and the corn price is very similar to the US DA’s mid point announced yesterday. The strong markets for crops are driving good levels of farm cash receipts and income globally and as shown on slide 12, note that our forecast for total US farm cash receipts for 2008 and 2009 are considerably higher then our outlook from just one quarter ago and at dramatically increased levels from those of just a few years ago. We ran yesterday’s US DA numbers through our model and the result is a less than 1% difference in 2008 and 2009 cash receipts. All of this translates into an excellent outlook at John Deere not only for tractors and combines, but also for products like sprayers and seeding equipment, and strongly supports our outlook for industry sales of agricultural equipment in the US and Canada as shown on slide 13 which is now up 20% to 25% from last year. In addition our 2008 industry outlook for South America is now up about 40%. One of the previous uncertainties has been eliminated with the resolution to the [inaudible]] situation in Argentina. Slide 14 compliments the increased industry forecast for South America demonstrating solid farm income in Argentina with a dramatic increase in Brazil. Slide 15 highlights the strength in the European agricultural market as well. And shown on slide 16 our 2008 industry outlook for Western Europe is now up about 5% for the fiscal year. Demand continues to grow rapidly in Central Europe and the Commonwealth of Independent States countries including Russia. And Australia is recovering from its severe drought with Deere sales there up nicely. So putting this altogether, slide 17 depicts a stronger worldwide outlook for the sale of John Deere farm machinery and services. Net sales are now projected to be up about 38% with currency translation accounting for about eight points of the increase. Just as currency translation will affect net sales; it will also affect forecasted operating profits adding about $150 million for the full year. While we will not have our 2009 outlook for you until the November call, early indications from the field are very encouraging. Retail requests in the US and Canada for many products, including 8000 and 9000 series tractors, combines, sprayers, and seeding equipment are up dramatically from year ago levels. For example, retail requests for 8000 series tractors affectively put availability into July of next year and into September of next year for 9000. For combines about 70% of expected 2009 retail sales have orders. Though we do not have similar early order programs outside the US and Canada, order positions in the rest of the world show the considerable strength of the global agricultural equipment market. Now it is early, but these results are exciting and confirm to us the great promise of our agricultural business into 2009. Turning to our commercial and consumer equipment business on slide 18, reported net sales were down 1% in the quarter with a five point contribution from LESCO. Operating profit was $91 million even with production tonnage down 14%. The division continues to manage costs and inventories carefully during these difficult economic times. Moving to the commercial and consumer equipment outlook on slide 19, for fiscal 2008 we continue to expect sales to be up about 4% with LESCO contributing about six points. Portions of the business remain affected by the housing slowdown and general economic conditions. Exciting new product offerings in the market this year, including the Precision Cut fairway mowers, premium homeowner models, and utility vehicles continue to drive customer interest. Let’s now focus on construction and forestry on slide 20, where sales were down 7% in the quarter. In this very demanding time with production tonnage off 15%, operating profit was $93 million or about 8% of sales. The 2008 net sales forecast is down 5% from 2007 as seen on slide 21. Given the challenging market conditions, construction and forestry is aggressively executing its trough management plans including carefully managing assets, producing closely to retail demand and controlling expenses such as R&D and SA&G. Based on our present outlook we expect construction and forestry to remain solidly profitable for the year. Moving now to our credit operations as you see on slide 22, credit losses continue to remain low with the current provision running well below its 10 year average demonstrating the quality of John Deere’s credit portfolio. Credit third quarter net income was about $80 million as seen on slide 23. Our forecasted credit net income for fiscal 2008 is now about $335 million versus the previous forecast of about $350 million, with the two primary reasons being a modest impact on crop insurance income from the floods in the Midwestern US and a slightly higher loan loss provision reflecting market conditions in C&CF and C&F. Before moving on to retail sales, let’s review receivables and inventory. Looking at the quarter on slide 24 consolidated trade receivables and inventory ended higher than a year ago. Construction and forestry had a benefit of about $50 million due to the sale of Nortrak South; however, the company increase was basically accounted for by the AG division. Currency comprised about a quarter of the AG division’s change year-over-year. Other items include the two acquisitions of John Deere Water Technologies adding about $150 million, the production start-up in Brazil and the significant growth in markets like Central Europe and the CIS including Russia which require longer shipping time for finished goods. The majority however is supporting our growing level of sales in Deere’s global agricultural business. Although you have seen trade receivables and inventories increase year-over-year, slide 25 clearly demonstrates that the increase continues to be driven by the growing level of sales. Slide 26 shows that our 2008 year end forecast calls for relatively flat inventories and trade receivables in C&CE and C&F. The increase in the AG division is consistent with our larger global footprint and accelerating global business conditions. The division again plans on increasing stocks of raw materials and parts toward the end of 2008, just as we did in 2007, for the higher level of production expected early next year. There also is a forecasted increase of about $150 million due to the John Deere Water Technologies acquisitions. Finally currency accounts for about $160 million of the total year-over-year increase. Now let’s discuss the latest on retail sales, slide 27 presents the product category detail for the month of July expressed in units. Utility tractor industry sales were down 7%; Deere was down a single digit but more than the industry. Grow crop industry sales were up 38%; Deere was up more than the industry. Four wheel drive tractor industry sales were up 49%; Deere was up more than the industry. Combine industry sales were up 31%; Deere was up double-digits but less than the industry. On slide 28 you see that for row-crop tractors Deere ended July with inventories at 14% of trailing 12 month sales, combine inventories were at 15% of sales. Turning to slide 29 in Western Europe, sales of John Deere tractors were up a single-digit with combines up triple digits in July. And on slide 30 Deere’s retail sales of commercial and consumer equipment in the US and Canada were down a single-digit in the month. Construction and forestry sales in the US and Canada were down double-digits on both a first-in-the-dirt and a settlement basis. Before we touch on a few housekeeping items, let’s turn to raw material and logistic cost increases as well as pricing actions. Slide 31 shows our raw material and logistic cost increases of about $140 million in the third quarter bringing our year-to-date total to about $250 million. For 2008 the forecast ranges from $425 million to $475 million. For the whole company since we anticipate about two points of price realization for the entire year, in round numbers we should cover our expected cost increases in 2008. However the price realization occurs over the course of the year while approximately one-half of the raw material and logistic cost increases come in the fourth quarter. So our margins will be under pressure as reflected in our fourth quarter 2008 forecast. Of course we are aggressively pursuing cost reduction activities to mitigate the affects of rising costs as well. But this is a near-term issue as we have taken several pricing actions globally. Here are a few examples from the US. On large tractors, we took a 3% increase in April of this year and earlier this week we announced another 7% increase on large wheeled tractors. On 2009 combines, we took a 95 to 10.5% increase. In commercial and consumer, prices increased from zero to 6% in late May. In construction and forestry we raised prices zero to 5% in July and yesterday announced increases from 4% to 9% affective November 1st, 2008. The bottom line is our backorder position limited the revenue impact of price increases in 2008. However, with the pricing actions we have taken and our cost reduction efforts, it is our intention to restore our cost price ratio and you should begin to see evidence of this in the first quarter of 2009. Now let’s turn to a few housekeeping items, looking at R&D expense on slide 32, R&D is now expected to increase about 16% in 2008 with continuing investment in new products across the enterprise. Moving now to slide 33, SA&G expense for the equipment operations was up about 16% in the third quarter, with about seven points of that increase coming from global growth initiatives and currency translation. Our fiscal year 2008 forecast includes SA&G expense increases of about 16% over 2007 with about 10 points of the expected increase coming from global growth initiatives and currency translation. Regarding the tax rate on slide 34, during the third quarter the effective tax rate was approximately 36%, the same as the rate projected for the full year. Turning to slide 35 in May, the Board of Directors approved the repurchase of an additional $5 billion of Deere & Company stock demonstrating their confidence in our ability to generate strong cash flows. At the same time investors received the sixth dividend increase since 2004, bringing the cumulative increase to 155%. As can be seen on slide 36 we have returned about $5.3 billion to shareholders in the form of share repurchase since 2004. The amount of 18.5 million shares remain under the current 40 million share repurchase program. This is in addition to the 5 billion authorization approved in May. Actual shares outstanding at the end of the quarter were 427 million. You can also see the history of share repurchases since 2004. Slide 37 provides some additional information related to fiscal year 2008, for equipment operations, capital expenditures are forecasted at about $775 million, depreciation and amortization is expected to be about $475 million and we continue to anticipate funding about $425 million in pension and OPEB contributions over the year. For financial services the forecast for capital expenditures relating to wind is about $275 million in 2008. Looking ahead John Deere is on the home stretch of another good year. Based on the guidance provided today, we expect 2008 to be our fifth consecutive year of record sales and earnings. Results like these along with our focus on asset management are helping generate strong cash flow, cash flow being returned directly to our shareholders and used for longer range investments in growth. At the same time, the broader global economic environment remains quite favorable for a company like our. All in all, we are confident John Deere is well positioned to continue delivering strong financial performance and high levels of value for both customers and investors well into the future.
Marie Ziegler: Thank you Susan, we are now ready to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Terry Darling - Goldman Sachs
Terry Darling - Goldman Sachs: You were pretty explicit about your expectation for AG equipment, at least production for 2009 and acknowledging you’re not giving guidance, wonder if you can take us through your initial thoughts for the construction equipment and forestry business as well as the credit business?
Marie Ziegler: For 2009, we would not have comments available at this time for those businesses. It’s premature.
Terry Darling - Goldman Sachs: If we just focused then on what’s going on in the construction equipment business, looks like you have lowered your production forecast, can you talk about how you’re feeling about end markets and inventory position assuming that you take production down here in the fourth quarter, looks like pretty significantly, how do you feel about inventories relative to where retail is heading into 2009?
Marie Ziegler: We actually feel very well positioned with our inventory position as a result in part of the reduction in receivables and inventories we made last year. For those of you who may not recall, we took $250 million out of our inventories over the course of 2007. So we went into 2008 with our inventories fairly well positioned and as evidenced by our guidance with our ending inventories and receivables estimated to just go up about $25 million and candidly that reflects some currency movement more then anything else, we continue to feel well positioned as we head into 2009.
Mike Mack: On construction and forestry, I think they’re executing according to what our strategy has been all along and that is fundamentally to produce close to retail demand and as we have seen adjustments on the retail side we’ve tried to get the working capital in line and similarly they’re pulling on the levers of our trough management so that we get the SA&G and other expenses in line so we can maintain our margins through this. I think they’re doing a pretty good job given the external environment we’re facing.
Terry Darling - Goldman Sachs: Just to be clear on that, is the lower production forecast now a result of weaker retail in 2008 or a combination of that and a more tempered outlook for 2009?
Marie Ziegler: Again we’re not going to comment specifically on 2009, it’s not secret certainly in view of what’s happened in the United States that the markets have continued to soften so I think you can attribute our reaction more in line with what we’re seeing in the markets today.
Terry Darling - Goldman Sachs: On the expense revised up, can you talk about where that number is headed and why that revision was made?
Marie Ziegler: Again a little bit of that would really reflect what’s happening with currency but as we are continuing to see growth opportunities in the markets and a lot of this candidly is occurring outside the US and Canada, we’ve got a lot of opportunities there, we are investing resources and that’s why you see some of the increases.
Terry Darling - Goldman Sachs: So we should expect that to continue to grow at similar rates here?
Marie Ziegler: That would get into guidance for 2009 which I’m not able to do at this time.
Operator: Your next question comes from the line of Eli Lustgarten – Longbow Securities
Eli Lustgarten – Longbow Securities: One clarification, tax rate went up to 36%, what caused that, and would the tax rate for 2009 be the same or go back to 35%?
Marie Ziegler: The reason the tax rate went from 35% which was our previous guidance to 36% really is that old word discrete items. It doesn’t attribute to any one particular factor. For the outlook for 2009, we’re actually ourselves still working on our forecast so I wouldn’t be able to give you any more precise guidance.
Eli Lustgarten – Longbow Securities: On the AG business in particular, you’re talking about very big shipments in the fourth quarter, were some shipments delayed in the third because of bridges being out and the flooding that give us such a big fourth quarter and you indicated the early order plans are very strong for the 8000 and 9000 tractors and the combines, how much more production can you get in 2009 versus 2008 in each of these products and with the price increases that you announced, are the early order plans under the old prices or the new prices?
Marie Ziegler: In terms of the fourth quarter shipments, we did actually up our tonnage estimates a bit for the full year, for the AG division so in the fourth quarter you’re seeing more the impact frankly not of delayed shipments but rather of some higher production. In terms of pricing all of the orders that we have for 2009 will have some price increases in them and it would vary depending on the time of when the order was placed. We did take an interim increase on many of those orders, you would be looking for at least a 5% or more increase and again we’re specifically talking AG here and the combines that Susan mentioned, those are 9% to 10.5%. What was the other question?
Eli Lustgarten – Longbow Securities: The incremental production that may be available in 2009--
Marie Ziegler: We’ve talked about the fact that at the end of May we approved a capital investment and it was announced and that will take our harvester works which is our factory where we make our large combines up about 30% and we expect to have most of that capacity available for the year; not for the full year but most of it.
Mike Mack: I think we announced in February a tractor--
Marie Ziegler: That’s correct, although a lot of that benefit will hit more in 2010. We do anticipate to get some additional equipment a little bit in 2009. And then several of our units although neither one on the same scale would be making adjustments in there. It’s not only capital but just in their operating processes to accommodate our farm customers.
Eli Lustgarten – Longbow Securities: So you’re indicating a double-digit increase is possible in both tractors and combines with combines being more than tractors at this point?
Marie Ziegler: We’re just giving you very specific examples and it is premature for me to try to nail that down more specifically. We ourselves do not have that answer.
Operator: Your next question comes from the line of Andrew Obin – Merrill Lynch
Andrew Obin – Merrill Lynch: Just to follow-up on pricing, given this highly inflationary environment that we’re in, are you contemplating any structural changes to your pricing policy just beyond price increases? Incorporating surcharges, being able to re-price backlog, just being more aggressive on pricing that would have been historically.
Marie Ziegler: I would say that our customers would tell you 9% to 10.5% is probably a meaningful increase but certainly required in the current environment. But we have made some adjustments in our acceptance of some orders. We use the term effectively place our backorder to July position. Not all of the orders that we have been assigned a retail date. That does give us the ability with the recent price increases then for those price increases to apply to those orders. We have some available production yet that if we would need to make additional changes in pricing that would be affected by that. It has not been our intention for many, many years or our practice to put surcharges on, a deal is a deal and Deere has felt very strongly about that.
Andrew Obin – Merrill Lynch: This is not meant to be a question for 2009, but this is going by just structural operating leverage for the AG business, earlier in the cycle we talked about operating leverage maybe 30, well if everything works out well 40, now we’re in the teens. Is it reasonable to assume that in the long run operating leverage in the AG division could return to what we’ve—sort of high point is low 30s?
Marie Ziegler: Well 30% would be our guidance on average over a long period of time, that assumes you are not making any investments for growth and we are seeing opportunities in the AG division globally and that is reflected in higher capital expenditures but also in higher R&D and SA&G as we are making investments and you’ve seen frankly some of the very early payoffs of that as we look at our net sales, we talk about the tremendous growth outside our traditional markets. So we will have guidance again in another quarter and we will be making the decision in terms of how we are going to continue to invest for 2009. So I don’t have a definitive answer for you at this time.
Mike Mack: I think the other thing it is going to depend upon in addition to investments which I think Marie hit on is probably the most important aspect, but I think it also is a little bit of a function of mix in terms of where the growth is occurring. So that’s another variable that does play into incremental margin calculations.
Andrew Obin – Merrill Lynch: But between pricing mix you’re building out Eastern Europe and North America, all these things sound positive and I understand that even if we continue as incremental investments it should not be worse than this year, right?
Marie Ziegler: I think you’re trying to pin us into some [inaudible] of on our guidance—I’m think [inaudible] going to answer that.
Operator: Your next question comes from the line of David Raso – Citigroup
David Raso – Citigroup: Regarding price versus cost, this year you’re thinking its largely a [push], can I extrapolate the price increases you’re outlining for 2009 you’re thinking price is ahead of costs in 2009?
Marie Ziegler: It is our intention to restore our cost price ratios.
David Raso – Citigroup: And what does restore mean in Deere?
Marie Ziegler: Put them back to where they would have been say at the start of the year. So we’re trying to get back to where we were, we’re not trying necessarily to get even better. We’re trying to restore parody if you will.
David Raso – Citigroup: Aren’t we at parody this year though with price versus costs?
Mike Mack: If you go back the last couple of years, let’s say 2007, price was substantially better than cost.
David Raso – Citigroup: In that same idea, the raw material contracts that maybe have come up recently and you’ve signed for next year, can we think through on that cost assumption which is obviously what’s driving your targeted pricing, how much of your 2009 costs are part of contracts you’ve already signed that you have a good idea of your 2009 costs? And at a minimum maybe describe it as at this point last year versus this point this year, do you have more visibility into your next year costs then you say you did a year ago? Like contracts signed say in the last month or so into 2009.
Marie Ziegler: We have spent a considerable amount of time as you might imagine with metric modeling, working with our suppliers. We are also looking at cost reduction activities. I think you’re looking for some guarantees that we’re probably not in a position to provide but I can assure you that we have been very, very active in taking a look at the market fundamentals.
David Raso – Citigroup: Philosophically did we try to lock in more next year costs this summer then we did last summer?
Marie Ziegler: That really gets into specifically how we’re contracting which we have in the past declined to comment on and I’m not prepared to provide any specifics on our contracting.
Operator: Your next question comes from the line of [Henry Kurn] – UBS
[Henry Kurn] – UBS: With corn prices pulling back, is it possible to chat a little bit about the price of corn that you think would continue to support the strong levels of demand?
Marie Ziegler: We talk about them pulling back, but the reason that we included the particular price chart on slide 10, was to demonstrate that although they have pulled back a bit from the highs, they are still by any historic measure extremely good and even with the fact that our customers are experiencing higher costs these current prices in the market are still very attractive profitable for them.
Mike Mack: And it I think its important to recognize farm cash receipts are really the product of the volume times the price and so when you look at this from farm cash receipts our estimates are substantially higher than there were just a quarter ago. And I think you can make an argument that there’s actually a real benefit to some moderation in the corn price in the short-term in terms of demonstrating the productivity of farmer customers and the ability to produce crops for both the food and fuel and I think that helps in the policy debates that are occurring right now.
[Henry Kurn] – UBS: On the CapEx you tweaked that back by about $100 million, what was the rationale behind that? Is there a change in philosophy here?
Marie Ziegler: There is no change in philosophy. Actually last quarter we discussed that we have a supplier who has a problem that’s been in the Wall Street Journal with cracking blades and in view of the situation there, we’re simply not doing some of the projects, putting down payments on some of the projects that we otherwise would have. They are in the process of working through a resolution. We’re working very closely with them and this is just a timing issue.
Operator: Your next question comes from the line of Jamie Cook – Credit Suisse
Jamie Cook – Credit Suisse: Referring to specifically I wonder if you could a little more color on what you’re seeing in the Brazilian market, obviously you took up your sales forecast, but in terms of your overall capacity relative to demand, how are you feeling at this stage of the game, and then obviously not getting into guidance for longer time, what are the opportunities in Brazil or in South America that you think that you can incrementally improve that business?
Marie Ziegler: We are less then a year into full operation of the new tractor facility in Brazil, and so we are reaping the benefits of having that additional capacity as well as having broadened our product line. We’ve added five new tractor models last year. Some higher horsepower, some in the lower horsepower ranges. So we are much better positioned to provide product to our Brazilian customers then we ever have historically. Ramp up of that facility occurred much earlier in the year and so we’re really reaping the year-over-year benefits of having that facility fully operational, having moved tractor production out of our factory in [Orezontina] which produced combines will also over time as that factory goes through its adjustments, provide for additional opportunity there as well. So we’re feeling very good about our ability on the manufacturing side and we have a very strong dealer network, very solid and traditional our issues have been that we were capacity constrained, we could not provide them with enough product, so we’ve got the product in place. We’ve got the distribution and the market conditions and fundamentals in Brazil and really throughout South America look very promising.
Jamie Cook – Credit Suisse: Referring to the pricing in that region, obviously there’s been a lot of talk about pricing with some of your competitors, what are you seeing specifically in Brazil from a pricing standpoint? If not number wise, can you give granularity, is pricing trending the way you want it to or is it ahead of your expectations or how would you describe the environment right now?
Marie Ziegler: We are seeing the same kinds of raw material cost inflations in Brazil as we are seeing really throughout the world and we have taken a number of pricing actions there just like the amounts maybe vary a little bit my model, but similar to what we discussed earlier in the call. I don’t have a comment about what’s happening competitively but we have taken some price increases.
Operator: Your next question comes from the line of Andrew Casey – Wachovia Securities
Andrew Casey – Wachovia Securities: On the non-US and Canada operations, if I look at Q3 revenue increased 6% and operating dropped 3% last year and then at Q2 5% revenue growth and 21% operating income growth from that area, what were the reasons for the change on the sequential basis? Was it all input and transfer costs or was there some seasonality and mix in there?
Marie Ziegler: Well there’s no question that there are some issues in terms of I wouldn’t say transfers but maybe more of where we’re building versus where we’re selling. As I think you know with the tremendous growth we’ve seen in the Former Soviet Union a lot of that product does come out of the US and so the US operation gets the benefit of building it and you have the overseas operations then just getting the benefit of the marketing margin but having the full sale. So that can change things. And that’s why very frankly, when we report our operating profit and our sales for the AG division we’re looking on it on a worldwide basis because it’s really very relevant there. The other thing that can distort it is we’ve had a fair amount of growth in our non-AG businesses, the commercial and consumer and certainly the construction business. So as people in the past have kind of ignored those or said there wasn’t a year-over-year change as they tried to calibrate and those do have an impact.
Mike Mack: I think the fundamental point is that when we look at the business you really need to add both the non-US and US together to get a true picture because of the distortions that can occur with the absorption and some of the factories versus where the products are being sold. And what we tend to do in terms of management we look at very narrow granularity on a profit by product approach where we look at all of the processes but we look at each of the product categories and each of them has that same high standard we’re trying to maintain relative to their return on assets that we’re demanding.
Marie Ziegler: We talked earlier about SA&G and R&D and the investments that we are making for growth that a lot of that is occurring outside the US and Canada and so of course that’s maybe a little bit of a disproportionate cost as you’re investing to grow those operations right now.
Andrew Casey – Wachovia Securities: With the share price weakness over the last few months given concerns about various factors, is there any thought internally to accelerate in any one period, maybe not this period, but any one period where you see share weakness and take advantage of what you see differently then what investors may?
Mike Mack: We’ve said in the past, we’re not going to have a specific rate at which we’re going to buyback shares so that we’re going have out there that—what we’d adhere to, in this particular quarter, Q3 I would just comment that sometimes we have to be out of the market for various things, this quarter because we were going for the authorization for the new share repurchase and we were going for the authorization for the dividend it took us out of the market and we had to have some blackout days we wouldn’t ordinarily have and that kind of impacted the share repurchase in the third quarter. But not going to be able to provide much more guidance on future activity.
Operator: Your next question comes from the line of Ann Duignan – JP Morgan
Ann Duignan – JP Morgan: Regarding the fourth quarter net income guidance I’m struggling to get down to the $425 million that you forecast, can you talk me through what you’re anticipating in terms of incrementals or decrementals, maybe incrementals on the AG side and decrementals on construction and forestry and consumer, I know you said construction and forestry will be solidly profitable. Can you just help me understand where my margins may be wrong?
Marie Ziegler: Well the first place I would take a look is the raw material cost which we were pretty blunt, about half of them hit in the fourth quarter.
Ann Duignan – JP Morgan: And I presume that those will disproportionately hit the AG sector since volume is stronger there then anticipated?
Marie Ziegler: It affects all three equipment divisions. But AG is that’s probably not—given the relative strength of the AG market that’s probably a fair observation. I think that’s the single biggest area I can think of. You do, I think in an earlier question someone observed the fact that our construction equipment division would have a lower production volume and although they do remain—we would in our forecast contemplate some remaining profitable they do have lower production in the fourth quarter and that would have an impact on our margins and actually is a factor in why we would have revised our guidance.
Mike Mack: Two other factors come to mind, one is tax rate is certainly one of them. These discrete items we alluded to earlier. And another one I think is lower credit company income really reflecting two things. One is crop insurance income. We talked about, actually I think a very good diversification that they’ve used in risk [inaudible] but nevertheless it’s going to be down I think about $5 million for the full year.
Marie Ziegler: Still profitable, nicely profitable just down a little bit from what previous--
Mike Mack: Right and I think there’s a modest increase in the provision for losses as well on credit for the fourth quarter.
Ann Duignan – JP Morgan: Can we talk a bit about you’re talking about adding capacity for combines, when you talk about I think you said orders were sold or booked to 70% of next year’s expectations, when you look at your next year’s expectations are you baking in the 30% capacity expansion or are you talking about your 70% of where you were at this time last year?
Marie Ziegler: That would be fair. Again the 30% is not available for the entire year but it will be available for a good portion of the year. When we talk about 70% and that is of what we expect to retail, now that’s a US and Canadian number, so we’re not looking at what we’re expecting to see in the rest of the world, we threw that out though just as an indication, the fact that we were still seeing very, very good market activity, extremely strong market activity.
Ann Duignan – JP Morgan: I shouldn’t think that your 70% sold out of 130% capacity, is that correct?
Marie Ziegler: I think that’s exactly right.
Operator: Your next question comes from the line of Robert Wertheimer - Morgan Stanley
Robert Wertheimer - Morgan Stanley: On the credit detail, can you comment on the past due experience, month to month or quarter to quarter on the construction and forestry side whether that’s stable or getting worse?
Marie Ziegler: It really continues to be maybe up just a little bit. We have been running, it would have rounded to three in terms of our write-offs as a percentage of the portfolio and we maybe bumped up just a little bit, 0.35% I meant to say earlier, so maybe 0.35% but your provisioning is based on what you think you need and as you look at the fundamentals in the commercial and consumer and the construction and forestry equipment markets it just seems prudent to us to slightly increase that loss provision given the difficult fundamentals and that’s really what you see reflected here.
Robert Wertheimer - Morgan Stanley: And the slight increase in provision is that in line with the increase in past dues or do you assume past due doesn’t translate to a loss and so you provision a little bit less as one of your competitors does?
Marie Ziegler: Well as I understand the accounting rules say that your provisioning is based on what you expect you will see in losses and so that’s what that’s reflecting. Our past dues continue to be—if you look year-over-year are virtually unchanged at 0.26% in aggregate [inaudible] portfolio.
Robert Wertheimer - Morgan Stanley: In the current environment you’re seeing a slowdown in global economies and some asset prices maybe getting cheaper, is there any thought on your part to savor asset purchases over buyback, conserve powder in other words?
Mike Mack: I think we are actively looking for business development opportunities all of the time. These things have a long gestation period and we’re continuing to have an interest in growth so to the extent that we can find business development opportunities where there’s a good fit and we think we can create value we have an interest and I don’t think that fluctuates so much as a view of the transient prices as something we’re looking for all the time. Two good examples this quarter that came to fruition were the acquisitions in the water space. But these take a long time to build a platform like we’re going to do if we’re going to make these relatively small acquisitions and hopefully invest around them and build up a platform that’s going to be a multi year activity but that’s how I think we’re going to create some value.
Operator: Your next question comes from the line of Daniel Dowd – Bernstein
Daniel Dowd – Bernstein: If I heard your comments correctly, you are among other places that you’re planning to take price increases you are taking them in construction and forestry and they sounded pretty significant so on the one hand this is addressing the input costs issue. On the other hand when you talk to the other construction vehicle manufacturers the one place that they cite pricing power weakness is in small and medium sized vehicles in North America. Are you seeing something different in the marketplace that makes you comfortable you can push this through or is it heavily weighted towards specific vehicles?
Marie Ziegler: We have not announced any specifics other then to say that they range from 4% to 9%. This announcement was actually just made yesterday but we have not really assigned it to specific products. So I am not able to comment any further.
Daniel Dowd – Bernstein: But presumably the announcement implies that you feel comfortable that price increases in construction vehicles in North America that you’re going to be able to successfully push them through without losing a lot of volume, is that a correct inference?
Marie Ziegler: I think that’s a fair inference.
Daniel Dowd – Bernstein: Let me just come back to the bottleneck in agriculture for a minute, so the way I read the release was 30% increase in combines next year but I think what I just heard you say was that by the end of the year your capacity will be 30% higher so a good of chunk of that benefit sort of arrives in 2010?
Marie Ziegler: No actually we will have a good portion of that 30% available to us we anticipate over—for fiscal 2009. I’m stopping short of telling you exactly how it weighs out because things happen in any kind of a building or machine tool or a redo project. But we do anticipate to have a good chunk of that available to us for the bulk of the year.
Daniel Dowd – Bernstein: And similarly for the [Waterloo] facilities, the release said that really comes available in 2010 and we really shouldn’t expect much incremental out of that?
Marie Ziegler: Waterloo is working very hard to rearrange its processes to accommodate our customers in this period of strong demand and so they are working as hard as they can to implement what they can. Where we are limited is where we have machine tools and a lot of those machine tools do not arrive until late in 2009 but there are some things that can be done in terms of process flow and things like that to better accommodate our customers and we’re working there. But the bulk of that increase does hit 2010.
Daniel Dowd – Bernstein: In Waterloo I believe almost two years ago now, you talked about the order to delivery time was down to 11 days and I seem to recall--
Marie Ziegler: That’s cycle time through the factory, that’s not order.
Daniel Dowd – Bernstein: And what is it down to now?
Marie Ziegler: I did not ask the question. Their ultimate goal was seven days and I don’t know where they are between the 11 and the seven days.
Mike Mack: I think they may have made some progress because the last thing they had to do to make the progress was some heat treated equipment there in the drive train area which I think subsequent to when we had a discussion they had in place, but I don’t have a specific number but I believe it has improved.
Operator: Your next question comes from the line of Seth Weber – Banc of America Securities
Seth Weber – Banc of America Securities: Just a clarification do you feel like you could have kept the $2.2 billion net income guidance without the higher tax rate and the credit and lower income at the credit business?
Marie Ziegler: There are four factors that affected the overall guidance and the first you were correct is the tax rate, the credit income, it is lower volume in construction and forestry and then a lesser factor but worthy of just note is the fact that we did complete these two acquisitions in the water so you have a little bit of integration cost that hits this year that was not in the forecast originally because we didn’t know that we would close on these acquisitions for sure.
Seth Weber – Banc of America Securities: Can you characterize, you said 70% of your combines at this point are essentially sold for 2009; can you give us an idea of where that number stood at this point last year?
Marie Ziegler: Actually we wouldn’t even have been able to quote a number last year because the earlier program didn’t open until the first of September. So it would be zero. But we just opened the program earlier.
Seth Weber – Banc of America Securities: Can you, on the Eastern European and the CIS business for the AG side, can you characterize how big is that market today, what type of growth rates are you seeing there and are you investing in the distribution channel there? Is that part of your growth initiative?
Marie Ziegler: Absolutely we are investing in distribution; in fact about a quarter ago we announced that we were investing in the distribution center in Russia that would help us in the parts side and training. So we have a dealer network. We are investing in dealer development in that part of the world. In terms of specific sales numbers we will provide that for you geographically on an annual basis but you saw in 2007 that our sales were over a billion in that specific part of the world, central Europe and Commonwealth of Independent States and the growth rate was I think about 60%. So we definitely have seen the growth and we are investing in infrastructure to continue to support that part of the world.
Operator: Your final question comes from the line of Barry Bannister - Stifel Nicolaus & Company
Barry Bannister - Stifel Nicolaus & Company: The C&F margin was the lowest margin in that segment in 20 quarters, when I look at the historical relationship there’s a good linear regression relationship between C&F profit and sales in that division, but using that equation for the first half and applying it to the third quarter there was about a $50 million profit shortfall; it’s pretty significant. It was also odd that in the third quarter you actually lowered the material and freight decrement estimate from--
Marie Ziegler: That is correct, it applies for the full year but we went from guidance of what had been $100 million to $75 million but they did cut production in the quarter, they produced less than what they had anticipated and then they’ve taken their guidance for the full year down.
Barry Bannister - Stifel Nicolaus & Company: So what I needed to know was what would be the breakout between the cut in production impacting the profitability in the third quarter and the shortfall of pricing versus materials and freight in the third quarter? A breakout between the two as to why that margin was so low.
Marie Ziegler: I don’t have a comment more specifically then what we’ve already provided. Actually very candidly we would look at their profitability in light of the significant decline in the market and believe that they are performing extremely well. But they are certainly impacted by the increase in raw materials and this is one division although for the full company we will cover our costs, this particular division we’ll be unable to do that in the current environment. They’re big users of plate and that has been more difficult. So you’re correct that that is an issue.
Mike Mack: The overwhelming impact on the decline in the profitability I think can be attributed to volume in the quarter.
Marie Ziegler: Thank you all for participating in today’s call.